Operator: Ladies and gentlemen, thank you for standing by. Welcome to this morning’s Belden Report Fourth Quarter 2024 Results. Just as a reminder, this call is being recorded. At this time you are in a listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Mr. Aaron Reddington. Please go ahead sir.
Aaron Reddington: Good morning everyone and thank you for joining us for Belden’s fourth quarter and full year 2024 earnings conference call. With me today are Belden’s President and CEO, Ashish Chand; and Senior Vice President and CFO, Jeremy Parks. Ashish will provide a strategic overview of our business and then Jeremy will provide a detailed review of our financial and operating results followed by Q&A. We issued our earnings release earlier this morning and have prepared a slide presentation that we will reference on this call. A press release, presentation and transcript and transcript of these prepared remarks are currently available online at investor.belden.com. Turning to slide 2 in the presentation. During this call, management will make certain forward-looking statements in reliance upon the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. For more information, please review today’s press release and our most recent annual report on Form 10-K. Additionally during today’s call management will reference adjusted or non-GAAP financial information. In accordance with Regulation G, the appendix to our presentation and the Investor Relations section of our website contains a reconciliation of the most closely associated GAAP financial information to the non-GAAP financial information we communicate. I will now turn the call over to our President and CEO, Ashish Chand.
Ashish Chand: Thank you, Aaron, and good morning everyone. We appreciate you joining us. Let’s first turn to Slide 4 for a summary of the major accomplishments we achieved during the fourth quarter and full year, and key messages I would like to highlight. As a reminder, I will be referring to adjusted results today. First, let me congratulate our team on another solid quarter. We once again executed well and delivered results ahead of expectations. For the fourth quarter, our revenue and earnings per share both exceeded the high end of our guidance as our solutions transformation continues to progress. Revenue totaled $666 million, up 21% compared to the prior year, and earnings per share came in at $1.92. Profitability aligned with our expectations and our adjusted EBITDA margins came in at 17.1% for the quarter, up 110 basis points compared to the prior year. Second, demand for the quarter was steady as our customers remained in a neutral posture to close out a transitional year. For the fourth quarter, orders were up modestly sequentially and up 23% compared to the prior year. I am pleased to report that for the full year, our orders were up 9%, reaching nearly $2.5 billion. Overall, our business grew by 14% organically for the quarter. We saw particular strength in the Americas, with organic growth of 23%. As the year progressed, we witnessed a strong and steady improvement in ordering patterns across many geographies and verticals. I am encouraged to see this progress continue, with additional upside ahead as we look further into 2025. Finally, our business continues to generate meaningful cash flow, and we are deploying capital consistent with our capital allocation priorities. Full year free cash flow was strong at $223 million, slightly ahead of prior performance and expectations. With our ample free cash flow, our team continues to invest in high-return opportunities beneficial to shareholders. For the year, we deployed $295 million towards tuck-in acquisitions that enhanced our product portfolio and improved our solutions offerings. Further, we continued buying back our stock. During the fourth quarter, we repurchased approximately half a million shares for $55 million. That brings our full year total to 1.3 million shares for $133 million. Our balance sheet remains strong, allowing us to enhance shareholder returns in multiple ways. You can expect us to continue looking for acquisitions that support our solutions transformation and, when appropriate, returning capital to our shareholders through buybacks. Now please turn to Slide 5. Reflecting on this past year, I’m proud of Belden’s tremendous progress in executing upon our strategy outlined during our most recent Investor Day. First, this past year, we continued strengthening our leadership in automation and infrastructure technologies by expanding our networking and data solutions portfolio with multiple significant upgrades. Let me quickly highlight recent improvements to our OT network switching line, including our introduction of the Hirschmann BXP managed switch. Ideal for rail applications, the switch features a compact design, enhanced flexibility and interoperability, and support for high-speed data requirements. This product introduction showcases how our teams are working hard to solidify and improve our competitive positioning in key growth verticals. Further, this year, we continued to expand and deepen our ecosystem partnerships, including our integration with AWS. After incorporating CloudRail into our technology stack this past year, we can now streamline and standardize data discovery, acquisition, and normalization and deliver it in a ready-to-use format for end customers using the AWS platform. This is a huge benefit to our customers and just one example of improvements we are making to our offerings to provide complete networking and data solutions. Second, we made significant strides in advancing our solutions capabilities. As we discussed previously, 2024 was the year we expanded into smart infrastructure and brought solutions to our entire organization. Our sales function was restructured to align with key growth verticals, empowering our teams to leverage our complete product portfolio to build compelling solutions for customers. Further, as outlined during our Investor Day, our teams are working diligently to expand our library of common reference architectures, improve our software capabilities, and fully utilize our customer innovation centers now that they are all up and running. With our expanded focus on solutions across the entire organization, much has been accomplished this year, and our momentum going forward is significant. Third, we demonstrated disciplined capital allocation through targeted tuck-in acquisitions. With the acquisition of Precision Optical, we enhanced our solutions capabilities by broadening our product portfolio and delivering a more comprehensive solutions offering. Our acquisition expands our fiber offering with key MSO customers benefiting from strong secular growth trends. Finally, we demonstrated operational excellence and financial discipline during a year of improving business conditions. Revenue for the fourth quarter was up 21% year-over-year with EBITDA margins up 110 basis points. Our cash flow was strong, and we ended the year with free cash flow of $223 million, or 9.1% of revenue, on our way towards our long-term target of 10%. These accomplishments underscore our unwavering commitment to delivering sustainable earnings growth and strong free cash flow generation through the business cycle. Now please turn to Slide 6. This quarter, I want to highlight two solutions examples from the power transmission and distribution vertical to illustrate how our solutions strategy drives success in the marketplace. The first example is a significant award from a national energy and water authority in EMEA, valued at approximately €11 million. This project involves upgrading the network backbone and providing support to ensure a successful deployment. The customer faced challenges with a legacy network and outdated equipment, which limited scalability. Our solutions team developed a comprehensive network design based on our XTran MPLS platform, a communications technology that delivers scalable solutions for large networks with multiple nodes. This solution enables the customer to integrate legacy applications with advanced Ethernet functionalities all within a reliable, scalable and easily serviceable platform. The second example comes from our Midwest Electric Cooperative with a contract valued at $3 million. Similarly, this customer was managing multiple legacy systems and protocols which hindered scalability, troubleshooting and network resilience. Our solutions team collaborated with the customer to design a network that included considerations for the utility’s future digital strategy using a similar XTran’s solution. Belden was awarded the project after a successful proof-of-concept in the field utilizing our customer innovation center as a remote node. These examples demonstrate our solutions in action. As outlined during our Investor Day, we focus on verticals and use cases where our technology is most effective and benefits from strong secular trends. In these cases, our power transmission and distribution experts leverage key insights to quickly deliver repeatable best-in-class designs that address real-world challenges and can be implemented efficiently. Looking ahead, we are committed to advancing our solutions strategy by becoming trusted industry experts who provide scalable solutions leveraging Belden’s active and passive product portfolio. We firmly believe our solutions offer superior value in the marketplace. Over time, successes like these will drive increased sales and deepen relationships with key customers, creating long-term, stickier partnerships. I will now request Jeremy to provide additional insight into our fourth quarter and full year financial performance.
Jeremy Parks: Thank you, Ashish. I will start my comments with results for the fourth quarter and full year, followed by a review of our segments, a discussion of the balance sheet and cash flow, and finally our outlook. As a reminder, I will be referencing adjusted results today. Now, please turn to Slide 7. Revenue for the quarter was $666 million, up 21% year-over-year, and exceeding the high end of our guidance of $660 million. Organic revenue was up 14% year-over-year with both Automation Solutions and Smart Infrastructure Solutions up 14%. We are encouraged to see organic growth return as conditions improve in our markets. As expected, orders for the quarter were up modestly sequentially and up 23% year-over-year, with both segments exhibiting strong growth. Automation Solutions was slightly positive on a sequential basis, and Smart Infrastructure was slightly negative due to typical seasonality. Gross profit margins were 38.1%, as expected, decreasing 10 basis points compared to the prior year but up 30 basis points sequentially. EBITDA was $114 million, with EBITDA margins up 110 basis points year-over-year to 17.1%. Net income was $79 million, up from $61 million in the prior year quarter. And EPS was $1.92, including the benefit of approximately $0.17 due to favorable tax rates compared to our guidance. Adjusting for the tax rate benefit, EPS was $1.75, still above the high end of our guidance. Now, please turn to Slide 8. Revenue for the year was nearly $2.5 billion, down 2% from the prior year. Organic revenue was down 6%, with Automation Solutions down 6% and Smart Infrastructure Solutions down 5%. As business conditions continued to improve throughout the year, our orders were up 9% on a full year basis. EBITDA was $411 million with EBITDA margins at 16.7% for the year. Net income was $263 million, compared to $293 million in the prior year. EPS was $6.36, compared to our record EPS of $6.83 in 2023. Turning now to Slide 9 for a review of our business segment results for the fourth quarter. With general market stability, performance for our segments aligned with our expectations. For the fourth quarter, revenue in our Automation Solutions segment was up 15% compared to the prior year. EBITDA margins were 20.6%, up from 19.2%. Orders in Automation Solutions were up 3% sequentially, and up 21% compared to the prior year. Our strongest markets for the quarter and full year included Energy and Process Manufacturing. Despite continued softness in EMEA, we saw double-digit organic growth in our discrete market for the fourth quarter. Our discrete business grew moderately sequentially with continued improvement in the Americas and APAC. Revenue in our Smart Infrastructure Solutions segment grew 27% compared to the prior year. EBITDA margins were 13.3%, up from 12.1%. Aligned with expected seasonality, orders in Smart Infrastructure were down 3% sequentially and up 26% compared to the prior year. For the quarter, we saw strength in growth verticals including Healthcare and Hospitality. Broadband showed strong growth compared to the prior year, and was roughly flat sequentially, again aligned with normal seasonality. Our markets have stabilized, and most customers are taking a neutral stance in the short term as they await greater clarity on new policy decisions. Next please turn to Slide 10 for our balance sheet and cash flow highlights. Our cash and cash equivalents balance at the end of the fourth quarter was $370 million, compared to $597 million in the fourth quarter of 2023. Our cash position reflects capital deployment during the year, primarily attributable to the Precision Optical acquisition and share repurchases. At the end of the year, our financial leverage was a reasonable 1.8 times net debt to EBITDA, consistent with our expectations. We intend to maintain net leverage of approximately 1.5 times over the long-term; however, we will fluctuate from time to time as we pursue strategic opportunities consistent with our capital allocation priorities. For the full year, our free cash flow was $223 million dollars, ahead of previous periods. When compared to our revenue, free cash flow margins increased to 9.1%, up from 8.6% in the prior year. Consistent with our capital allocation priorities, we deployed $436 million for M&A, share repurchases, and dividends during the year. In 2024, we repurchased 1.3 million shares, further reducing our share count, which is now 10% lower than it was three years ago. We currently have $340 million remaining on our repurchase authorization. Going forward, we see the opportunity to continue deploying capital towards both acquisitions and share repurchases. As our solutions offerings expand, our margins continue to strengthen, leading to increased cash flow. This steady flow of capital allows us to make strategic high return investments that further enhance our capacity to generate incremental cash flow. As a reminder, our next debt maturity is not until 2027, and all of our debt is fixed with rates averaging 3.5%. Please turn to Slide 11 for our first quarter outlook. For the first quarter, we anticipate order patterns aligning with typical seasonality and expect our customers to remain in a neutral posture as they navigate this dynamic environment. Revenues are expected to be between $605 million and $620 million, representing a 13% to 16% increase over the prior year quarter. Adjusted EPS is expected to be between $1.43 and $1.53, representing a 15% to 23% increase over the prior year quarter. Guidance includes the impact of a stronger U.S. dollar relative to other major currencies. As such, for the first quarter, we expect a currency exchange headwind of approximately $15 million in revenue and $0.05 in EPS compared to prevailing rates in the prior quarter. At current rates, we expect a similar impact in each quarter for the balance of the year. We expect a tax rate of 18.3% in the first quarter and nearly 20% for the remaining three quarters of the year. That concludes my prepared remarks. I would now like to turn the call back to Ashish.
Ashish Chand: Thank you, Jeremy. To summarize, 2024 was a strong year for Belden and our team executed well despite the dynamic environment. As outlined earlier, we continue positioning our business for the massive opportunity ahead. Business conditions steadily improved this past year with revenue, EBITDA and EPS increasing each quarter. In fact, if you compare the second half of the year to the first, you will see that our revenue increased 16%, EBITDA increased 23%, and EPS increased 32%. Orders also showed positive momentum, increasing sequentially each quarter and reaching nearly $2.5 billion for the year, up 9% compared to 2023. Our key growth regions are improving nicely. The Americas was up 23% organically in the fourth quarter, led by outperformance in the U.S. Finally, in the most recent quarter, we saw particular strength in our energy, process manufacturing and broadband markets. By focusing on key growth verticals where our products and solutions have a competitive advantage, our business is primed to capitalize on long-term secular growth drivers. Looking forward to the first quarter, our guidance implies that customers maintain a neutral posture. We expect policy and implications to be clarified over the next few months and despite the short-term uncertainty, we anticipate customers will move quickly and deploy capital accordingly. Our view on the opportunity ahead for us in 2025 remains unchanged with meaningful upside once decision makers have more certainty. While we are not guiding beyond the first quarter, I can confidently say that I expect 2025 to be a year of record performance for Belden. I anticipate that we will see many new highs for the business well above those of the past for the following reasons. First, orders this past year have largely stabilized with some verticals showing healthy and growing demand. As I mentioned earlier, our key growth regions are also improving and channel checks indicate that we are nearly through destocking with a return to growth going forward. Second, after more than two years of manufacturing PMIs in contraction territory, we are seeing signs of rebound in activity, which is expected to positively impact our business. Finally, re-industrialization in the U.S. is set to accelerate and we’ve strategically aligned our business to capitalize on this trend. Our solutions transformation is delivering results driving incremental growth and margin expansion. Major secular trends and our continued push into solutions provide us with a significant runway ahead as our teams innovate. We enter 2025 in a position of strength with the underlying trends moving in the right direction. Now, regarding the $8 EPS target, let me take a moment to summarize what has transpired since our Investor Day last year. On the plus side, the fourth quarter was strong. We exceeded expectations, continue to grow orders and saw many of our verticals and regions turn positive compared to the prior year. For the first quarter, we see performance aligned with normal seasonality, which reflects a continuation of the trends we saw in the fourth quarter. This is all good and supports our previously articulated pathway to achieving $8 in EPS in 2025. On the other hand, we are seeing incremental headwinds that make achieving the target slightly more challenging. First, as Jeremy articulated, the U.S. dollar continues to strengthen, creating a currency translation headwind into 2025. Further, short-term friction persists today, which risks delaying the uptick in demand we would expect in our business for the balance of the year. We can only achieve $8 in 2025 if business conditions improve beyond the first quarter. To conclude, our posture on $8 has not changed and excluding the currency headwind, our expectations for 2025 remain just as positive. Rest assured, we will continue to operate the business to benefit our shareholders, making prudent strategic investment and capital allocation decisions to support our long-term commitments. As outlined in our Investor Day, our growth algorithm will deliver long term shareholder value. We are targeting true cycle EPS growth of 10% to 12% longer term driven by mid-to-single digit organic growth and consistent margin expansion. Belden’s progress last year and the opportunity ahead in 2025 are a testament to our team’s hard work and dedication. I’m excited about our long-term potential as we continue to execute our strategy and create lasting value for our stakeholders. I also want to take a moment to recognize the valuable contributions of our associates over the past quarter. Your efforts and commitment are greatly appreciated, and I thank you for your unwavering support as you transform Belden. That concludes our prepared remarks. Operator, please open the call to questions.
Operator: Thank you. [Operator Instructions] The first question is from Mark Delaney of Goldman Sachs.
Mark Delaney: Yes, good morning. Thank you very much for taking the questions. You mentioned you expect improvement this year in the business when you look at manufacturing PMIs and consider inventory levels in the channel and the destocking that occurred over the course of last year. But then you also talked about an expectation for normal seasonality and some near term uncertainty as customers evaluate the policy environment. Maybe you could elaborate a little bit more on some of those factors. Just specifically to the 1Q guidance, are you assuming any pickup in activity making, or is that not something that’s baked into your 1Q guidance? And maybe just talk a little bit more on what you’ve seen with order patterns so far this year?
Jeremy Parks: Yes. Well, thanks, Mark. So if you think about Q1, I think I would like to separate the two factors we talked about. So yes, there is regular seasonality, it’s typically 6% to 8% going from Q4 to Q1. And I think our guidance is prudent in that it considers that aspect. At the same time, whilst there are certain positive trends and you listed them, orders improving, solutions improving, the destocking coming to an end tapering off. Undoubtedly, there is some shorter term friction. I think overall the broader policy agenda supports our business; re-industrialization especially in the U.S. will be very helpful given our posture. But there are certain things our customers and markets broadly are working through right now. And so, yes, so seasonality separate from that, but I think once you get past Q1, we expect things to actually be pretty much on course for the 2025 we had in mind.
Mark Delaney: That’s helpful. But just to clarify, you don’t need any pickup in activity to hit the 1Q guidance?
Jeremy Parks: Yes, that’s correct.
Ashish Chand: That’s correct. Sorry, I should have...
Jeremy Parks: A typical seasonality.
Ashish Chand: Yes.
Mark Delaney: Understood. And then it’s in terms of some of the puts and takes to the $8 target. To the extent you do see business conditions pick up starting in 2Q, do you think you’re tracking to the $8 number or is FX too much of an incremental headwind?
Jeremy Parks: We’ll have to see how things go, Mark. Obviously, we’re not guiding outside of the first quarter. And even as we talked about $8 in the script, we made sure to say that it’s not a guidance. Obviously, we need things to pick up. We expect they will pick up as we go throughout the year. Now, we’re not planning on it to happen in first quarter now. But we do think as we move throughout the year, things will get significantly better and we’ll see how things go. I think at the same time, in order to hit that $8 number, we’ll have to continue to make some smart capital allocation decisions. And so those are things we’re evaluating at the same time. So we’ll see how things go. And I’m sure we’ll know a bit more 90 days from now.
Mark Delaney: Understood. Thank you.
Operator: The next question comes from Steven Fox with Fox Advisors.
Steven Fox: Hi, good morning. First, I had a question just clarifying a couple end market comments. So when you talked about the customers being in the neutral posture, is that across the board or are there some markets where maybe you don’t need to see where that will do well no matter what happens with policy? And then on the EMEA side, you mentioned EMEA is weak, but then you also said there’s a pickup in discrete manufacturing. So I’m a little unclear on how to tie all that together? And then if I could follow-up with one other question, that’d be great.
Ashish Chand: Sure. So let me deal with the discrete item first. So, Steve, generally discrete markets have been slow in 2024. However, in Q4, we saw double-digit growth there and that was inspired with EMEA being slightly weak. Now EMEA itself has also improved. Remember a lot of what we do in EMEA is focused on them exporting to markets across the world. And I think especially in the U.S. discrete markets including material handling have just done better and better as they have progressed. So and if you look at how we’ve built our own stack, which is passive hardware, active hardware and software to help discrete markets, we solve problems, including the shortage of labor, productivity, shortage of capital when you’re trying to retrofit existing factories and warehouses. So those are all good things for us. And yes, so discrete has been a more positive spot versus in the past. Now, if I think of which markets will continue to do well in spite of some short-term uncertainty, I think energy and process stand out. They’ve really started making investments that I think are more – will stay more consistent through this period. But I think there are certain other markets that are trying to digest all the information right now, figure out how the short-term friction might affect them and that’s more in the manufacturing space, so maybe more in the discrete space. So we again, we think that this is short-term. We believe that post Q1 things will actually be much more positive.
Steven Fox: Great. That’s helpful. And then just a bigger picture question on the solutions business. Is there any way to put a little more perspective on how the mix is shifting now that we’re at the end of the year either looking back at percent of sales, percent of orders versus the prior year and how that shift can continue into 25%? Thanks very much.
Ashish Chand: Yes. So solutions as a percentage of sales came in approximately in that 10% to 12% region for the full year, which is what we had previously talked about. If you remember even during Investor Day, that’s what we expected will happen. I think the more interesting part for us on solutions has been that we are now going to market with one combined offering across the two technology segments, right. So we’re saying automation solutions, smart infrastructure solutions are going to provide technology to different vertical markets. So the way I want you to imagine this is that we are building a stack or we’ve built a stack that is like I said, passive, active and software and it can pivot to any vertical market. And there are certain examples. So for – we talked about today about MPLS technology, which was previously used more in the energy sector. Now we are seeing more of that also getting into mass transit. Similarly, you see smart buildings products that were previously used in healthcare, hospitality now moving to material handling and warehouses. Similarly, you see substation automation products, routers and switches that were used in power transmission and distribution now moving to data centers, because they need more energy management. So that’s been a good development in 2024. It’s not just the percentage of revenue, but how consistently we’ve been able to take pieces of that portfolio and make our solutions more consistent. Our goal is not to build a different stack per verticals, but use the same stack with optimal customization. So I think a lot of the development that we noted in 2024 was in that space, so overall doing extremely well. We see good momentum on solutions. We expect that to accelerate in 2025 with the reindustrialization going through in the U.S.
Steven Fox: Super helpful. Thank you.
Operator: Our next question is from William Stein with Truist Securities.
William Stein: Great, thanks for taking my questions. First, what we’ve seen with some companies is this anticipation of customers potentially trying to get ahead of any volatility in the tariff structure and maybe pull in orders that were scheduled for Q1 into Q4. I’m wondering, if you think that happened, whether you can measure it, whether you think you know or know, you know. Any comment on that dynamic?
Ashish Chand: So well, we’ve obviously we have some visibility, not 100% right, but we obviously work very hard with our channel partners, especially in the U.S. where we have more visibility and more, we can see POS data more. We don’t believe that there has been any kind of large scale pull in. I know of a couple of anecdotal cases where somebody said, they were trying to do that. But broadly based on the data we have, both with end customer interaction as well as the channel checks, we don’t see that. I think our Q4 was pretty clean and as expected. Now, the other aspect of course you’ve raised here is about tariffs. Now remember Will, that most of our manufacturing is within region, in fact within country, closer to consumption for most geographies. And we don’t actually, I mean our customers understand that they don’t actually have any kind of major panic. Yes, there will be some, minor impact. I think we’re well positioned to address that. So no, I think we can firmly say here that we did not experience any significant pull in or any pull in for that matter in Q4. Q1 is adjusted for seasonality and FX is about where we should be guiding at this time, given some shorter-term friction.
William Stein: Thank you for that. And then the follow up relates to that shorter term friction that you described. I would imagine that that shows up in the form of order backlog and maybe Somewhat faster turns built into the Q1 guide. Is that the right way to think about what’s going on or not? And maybe any way that you can elaborate on the duration of your backlog and visibility that you have today into the Q1 guide relative to what you might have had if there is such thing as a typical Q1?
Jeremy Parks: Yes. Hey, Will. So with respect to the backlog, it’s not changed very much because our book-to-bill has been about one every quarter. So right now it’s a little over $500 million. It’s been at that level for several quarters in a row. So I wouldn’t say our visibility is any better or worse than it is in a typical quarter. And I wouldn’t say that we’ve seen an inordinate amount of, like quick turn orders. I think it’s been pretty standard. I think the comment we were making is that we just don’t expect the orders to do. Sequentially, we don’t expect better orders performance than we would typically see from Q4 to Q1. And so that’s how we model the forecasting or how we’ve modeled the guidance at this point. If we go through the quarter and things change, things get better, that’ll be a good thing. But that’s our baseline assumption for the first quarter. But with respect to the backlog, it’s not really much different than it’s been the last few quarters.
William Stein: Thank you.
Jeremy Parks: Yes.
Operator: [Operator Instructions] The next question comes from David Williams with Benchmark. Your line is open. You may be on mute. At this time there’s no response. And at this time there are no. I do apologize. We’ll go next to Rob Jamieson with Vertical Research Partners.
Rob Jamieson: Hey guys, Thanks, I guess just wanted to touch back on the 1Q guide and just the color there. And how would you characterize, the macro that you have embedded in there? Is it more like, if we’re talking about PMI specifically more as we exited 2024, what the readings were like, or does this account for, like the January kind of upticks that we saw in Europe and the U.S.
Ashish Chand: Rob, so if you think about our, when we were talking at Investor Day for example, our expectation was that, we will see something beyond seasonality going into Q1. Right. It’ll be slightly more positive than the seasonality. And that was based on the macro read at that point in time. I think at this point we are saying, hey, this is seasonality adjusted, FX adjusted, flattish to Q4, because we just think that those macro factors are still there, but there is some short-term uncertainty that pushes that out by a couple of months. Right. So that’s where we are. So, yes, we saw the PMI reading. I mean, of course, that’s very positive news. And I think in general, the tapering of the destocking plus those kinds of indicators show us that 2025 will be better. We just wanted to be prudent in Q1, given that there is, what we witness around us is some kind of lack of clarity. People are still trying to figure it out. It doesn’t mean that things are negative. It simply means that people are just waiting and watching a little bit more for this period. And it’s very short term. So the way I would characterize our guide is no change in the macro view, a more prudent perspective on the very short term.
Rob Jamieson: Okay, that helps. And then I guess just to touch on the seasonality, can you maybe remind us, how a normal year might play out? Whether that’s on a, quarterly basis or first half versus second half contribution to full year revenue. Is it going to be like typically in the second half, it’s like what, 52% or so but just would love some color around that as well.
Jeremy Parks: Yes, sure, Rob. So, yeah, obviously for us, Q1 is always the low point for the year. Everything else equal. And I would say it’s again, it’s sort of. If you just take the way we’ve guided this right down 6% to 8% sequentially from Q4 to Q1, you would expect a nice pop then from Q1 to Q2. And then I would say everything else equal. No improvement in the market. Q2, Q3 and Q4 would look very similar to each other. So you hit the low point in Q1, things rebound in Q2. But obviously we’re hopeful as we move throughout the year, we start to see some additional market improvement, which would make that improvement as we go throughout the year even better. But we’ll see.
Rob Jamieson: Okay, thank you.
Jeremy Parks: Sure.
Operator: There are no further questions at this time. I will turn the call back to Mr. Reddington for any additional or closing remarks.
Aaron Reddington: Thank you, operator. And thank you everyone for joining today’s call. If you have any questions, please contact the IR team here at Belden. Our email address is investor.relations@belden.com thank you very much.
Operator: Thank you, ladies and gentlemen. This concludes our call for today. You may now disconnect from the call. And thank you for participating.